Operator: Greetings and welcome to the Matthews International Corporation Third Quarter Fiscal 2018 Conference Call. At this time all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host Karen Howard Investor Relations for Matthews International Corporation. Please go ahead, Karen.
Karen Howard: Thank you, Kevin, and good morning, everyone. Thank you for joining us to discuss the Matthews International Fiscal 2018 third quarter and year-to-date results. We certainly appreciate your time today. You should have a copy of the news release that crossed the wire yesterday afternoon detailing Matthews' results. We also have slides associated with the commentary that we're providing here today. If you don't have the release to the slides, you can find them on the company's website at www.matw.com on the Investor Overview page. We also have provided additional preliminary financial information on the Investor Financial Report page. On the call with me today are: Joe Bartolacci, our President and Chief Executive Officer; and Steve Nicola, our Chief Financial Officer. Steve will review the financial results for the quarter and year-to-date period, and Joe will review the business progress as well as our outlook. We will then open the lines for Q&A. But before we do, I would like to highlight our safe harbor statements, which is on Slide 2 of our presentation as well as within our release. As you are aware, we may make some forward-looking statements during this discussion as well as during the Q&A. These statements apply to future events and are subject to risks and uncertainties as well as other factors, which could cause actual results to differ materially from what is stated on this call. These risks and uncertainties and other factors are provided in the earnings release and in the slide deck as well as with other documents filed by the company with the Securities and Exchange Commission. These documents can be found on our website or at www.sec.gov. I also want to point out that during today's call, we will discuss some non-GAAP financial measures, which we believe are useful in evaluating our performance. You should not consider the presentation of this additional information in isolation or as a substitute for results prepared in accordance with GAAP. We have provided reconciliations of comparable GAAP to non-GAAP measures in the tables accompanying today's earnings release. And with that, it is my pleasure to turn the call over to Steve to begin. Please, go ahead, Steve.
Steve Nicola: Thank you, Karen, and good morning. I am going to start on Slide 4. So beginning with our results on a GAAP basis, the year-over-year change in earnings per share was impacted by higher intangible amortization expense in the current quarter related to recent acquisitions. In addition, last year’s third quarter earnings included loss recoveries which were recorded another income. On a non-GAAP adjusted basis, I am pleased to report that earnings per share for the fiscal 2018 third quarter grew 10.5% over the prior year third quarter. This increase was primarily driven by the following factors. First, higher sales in all three business segments; second, the incremental impact of acquisitions completed during the last 12-months; third, acquisition synergies principally related to the Aurora acquisition; fourth, benefits from recent U.S. tax legislation; and finally, the impact of favorable changes in currency rates. Reconciliations of non-GAAP earnings and adjusted EBITDA are provided in our press release and the slides which are circulated yesterday and they’re also available on our website. The fiscal 2018 third quarter and year-to-date non-GAAP adjustments primarily included acquisition integration related cost such as our ERP integration and non-cash intangible amortization expense. On a year-to-date basis, the one-time impacts from U.S. Federal Income Tax Law changes were also a non-GAAP adjustment. The non-GAAP adjustments for tax law changes primarily included the impact of implementing the U.S. Tax Cuts and Jobs Act on the company's deferred tax balances and foreign tax credits and the estimated repatriation transition tax. Please turn to Slide 5. Consolidated sales for the quarter ended June 30, 2018, were up $5.6% compared to the same quarter a year ago. The company reported higher sales in all three of its business segments, which I will review in a few moments. On a consolidated basis, the increase primarily reflected higher sales of Industrial Technologies products and systems, incremental sales from recent acquisitions and the favorable impact of currency changes. Referring to the chart in the lower left, the increase in gross profit primarily reflected higher consolidated sales, the impact of recent acquisitions and acquisition synergies which were partially offset by higher commodity cost in our memorialization segment. Similarly the increase in adjusted EBITDA shown in the lower right chart primarily reflected the benefits of higher consolidated sales, the impact of recent acquisitions and acquisitions synergy realization, which will partially offset by higher commodity cost. Consolidated selling and administrative expenses excluding intangible amortization as a percentage sales were 25.7% for the quarter ended June 30, 2018 compared to 25.9% for the same quarter last year primarily reflecting the benefit of cost reduction initiatives and acquisitions synergies. Investment income was $538,000 for the current quarter compared to income of $431,000 a year ago. The increase reflected higher returns on investments held in trust for certain of the company's benefit plans. Interest expense for the fiscal 2018 third quarter was $9.7 million compared to $7 million for the third quarter last year. The increase reflected higher average debt levels primarily due to recent acquisitions and higher average interest rates during the current year reflecting our December 2017 bond offering. Other income deductions net for the three months ended June 30, 2018 represented a decrease in pre-tax income of $57,000 compared to an increase in pre-tax income of $7.9 million for the same period last year. Fiscal 2017 other income included loss recoveries related to a previously disclosed theft identified in fiscal 2015. Our consolidated income taxes for the three months ended June 30, 2018 were $4.3 million or 15% of pre-tax income compared to $8.9 million or 23.2% of pre-tax income for the same quarter last year. The lower effective tax rate this year was primarily due to the impact of adopting U.S. Tax Cuts and Jobs Act and the benefit of other tax planning initiatives. Please turn to Slide 6 for a brief review of the results for the nine months ended June 30, 2018. On a year-to-date basis consolidated sales grew 6.8% compared with the prior period. Each of our business segments reported higher sales for the period. Incremental sales from recent acquisitions and the favorable effect of changes in currency exchange rates contributed to the improvement. Gross profit and adjusted EBITDA also increased on the year-to-date basis, primarily reflecting the consolidated sales growth as well as the benefits of acquisition synergy realization. Consolidated selling and administrative expenses excluding intangible amortization as a percent of sales were 27.1% for the current year compared to 27.7% for the same period last year, primarily reflecting lower acquisition integration costs as many of those projects are nearing completion. Year-to-date consolidated income taxes represented a benefit of $18.7 million compared to expense of $17.3 million last year. The income tax benefit for the current year included the favorable tax impact of the reduction in our net deferred tax liability from lower U.S. federal tax rates, which was offset partially by an estimated repatriation tax charge as a result of the recently enacted U.S. tax legislation. Excluding the impact of these items and other credits discrete to the current year, the current consolidated effective income tax run rate is estimated to be in the 26% range. Please turn to Slide 7 to begin a review of our segment results. For your convenience, a summary of operating results by segment including non-GAAP adjustments for the quarter posted on our website. In the SGK Brand Solutions segment, sales for the fiscal 2018 third quarter increased modestly compared to a year ago. The increase was primarily driven by the segments European operations, benefits from recently completed acquisitions and the favorable impact of changes in foreign currency values against the U.S. dollar. The sales increase in Europe reflected higher brand sales and increased sales of surfaces and engineered solutions. Year-over-year comparability for the segments North America sales were challenged due to a significant merchandising display project during last year's third quarter. Revenues from this project in last year's third quarter exceeded $10 million. Excluding this project, total sales for this segment were higher on an organic basis primarily reflecting sales growth in Europe and the impact of recent new account wins in North America, which are starting to contribute to sales. Regarding adjusted EBITDA for the SGK Brand Solutions segment, the decline shown in the lower left chart primarily reflected the impact of last year's merchandising project on comparability and start-up costs related to new accounts. Please turn to Slide 8. For the nine months ended June 30, 2018, sales in the SGK Brand Solutions segment grew 6%. However adjusted EBITDA declined modestly compared to the same period a year ago. The lower margin was primarily attributable to the segments results in our first quarter of this fiscal year and the impact of last year's merchandising display project on year-over-year comparability. Please turn to Slide 9. Memorialization segment sales for the three months ended June 30, 2018 increased 4% compared to a year ago. The growth reflected the acquisition of Star Granite & Bronze and an increase in cremation equipment sales. Casket sales were lower than a year ago reflecting an estimated decline in U.S. casketed deaths. Also memorial product sales declined primarily reflecting lower pre-need sales. Memorialization segment adjusted EBITDA for the fiscal 2018 third quarter increased 5% compared with the same quarter last year. The current quarter benefited from acquisitions synergies and the acquisition of Star Granite & Bronze, which were partially offset by higher material costs mainly steel and bronze. Please turn to Slide 10. For the first nine months of fiscal 2018, memorialization segment sales were up 2.6% compared to the same period a year ago. The increase primarily reflected higher sales of cremation equipment and the acquisition of Star Granite & Bronze. Sales of caskets were lower for the current period, reflecting an estimated decline in U.S. casketed deaths, in addition pre-need memorial sales declined for the period. Year-to-date adjusted EBITDA for the memorialization segment as of June 30, 2018 was slightly down compared to last year, reflecting the benefit of higher sales and acquisition synergies offset by an increase in material costs. Please turn to Slide 11. Leading the company's consolidated growth for the quarter and fiscal year-to-date, the industrial technologies segment sales for the fiscal 2018 third quarter grew more than 40% compared with a year ago. The increase reflected higher sales of marking products, fulfillment systems and OEM solutions and the acquisition of Compass Engineering. As a result as shown here in the lower left chart, the segments adjusted EBITDA for the current quarter nearly doubled compared with the same quarter last year. The increase primarily reflected the benefit of higher sales partially offset by an increase in investments in the segments product development project. Please turn to Slide 12. Year-to-date the industrial technologies segment reported 32% growth over the prior year. Similar to the results for the quarter, year-to-date adjusted EBITDA was nearly doubled the level reported for the same period last year. Please turn to Slide 13 for a review of our capitalization and operating cash flows. Please note that preliminary balance sheet information including consolidated accounts receivable and inventories and preliminary cash flow data including depreciation and amortization and capital expenditures are available on our website for your reference. Total long-term debt at June 30, 2018 including the current portion was $1.03 billion representing a reduction of approximately $20 million during the third quarter. Long-term debt was $911 million of September 30, 2017. The increase from the end of September primarily resulted from recent acquisitions. Year-to-date through June 30, 2018, we reported cash flow from operations of $82.8 million compared to $95.8 million in the same period a year ago. Our most recent quarter included a pension contribution of $10 million and the prior year third quarter included loss recoveries of $10 million. Those two significant factors contributed to the lower year-to-date cash flow from operations shown here in the upper right chart. We had 32.1 million shares outstanding at June 30, 2018. During the fiscal 2018 third quarter, we purchased approximately 36,000 shares at a cost of $1.8 million under our share repurchase program. Year-to-date through June 30, 2018, we purchased approximately 372,000 shares at a cost of $20.1 million. As of quarter end approximately 1.4 million shares remained under the current share repurchase authorization. Finally, the board last week declared a dividend of $0.19 per share on the company's common stock. The dividend is payable August 13, 2018 to stockholders of record July 30, 2018. This concludes the financial review and Joe will now comment on the business climate and our company's operation.
Joe Bartolacci: Thank you, Steve. Good morning. Please turn to Slide 15, where I'll start with an update on our business highlights and the market climate. First of all let me say that we are pleased with the results for the quarter, which were ahead of our internal expectations. I’m proud of our team for achieving a new quarterly record for non-GAAP and also for setting new third quarter records for both sales and adjusted EBITDA. We continue to make good progress on the execution of our growth strategy of differentiating Matthews as a global company servicing the consumer products, moralization and industrial markets focused on driving shareholder value. Within our SGK Brand Solutions segment, our pipeline of wins and proposals continues to be robust and growing resulting from a stronger economic, a confidence from our customers and good sales discipline within our team. We have positioned ourselves well to support both global brand update as well as a growing private label market. We're seeing strong performance from our services and engineering businesses in Europe as well the recently acquired Ungricht business, both of which are expected to perform well through the latter half of fiscal 2018 and beyond as w continue to from the operational synergies that we expected. While businesses support the EMEA, tobacco industry slowed during the quarter. It is expected to pick up during our September quarter. Recent new client wins that we mentioned during our last quarterly earnings teleconference have started to roll in. We expect that the revenue from these projects will help to offset and outpace some of the lumpiness we have realized in this segment. As soon as our historic clients remain – as some of our historic clients remain challenged, we are winning new work as clients understand and appreciate the differentiated value we provide, ensuring the quality and consistency of their brand image on a global basis whether they’d be well known brands or private labels. For example, our recent acquisition of Equator is successfully employing its one-stop shop approach, resulting in wins especially in the retailer and hot private label sector, which is contributing to growth in a market we wanted to grow. Whether in private label or consumer brand, the packaging is one of the factors that continue to drive consumer demand. So it is very important to our clients’ success. As Steve has mentioned, I want to reiterate that this segment realized growth this quarter despite a difficult comparison to last year when we completed a significant North American merchandising display project valued in excess of $10 million or over 5% of this segments third quarter sales in fiscal 2017. I want to remind you that we divested a minor cylinder partnership in the U.K. earlier this fiscal year, reducing our annualized revenues by about $4 million. The U.K. market for cylinder printers has moved to Eastern Europe and that's making our former operational strategic. This change will modestly impact the comparability of financial results over the next few quarters. On the operational side, we have taken some actions in this segment to remove excess cost and to improve our operating performance. We're starting to see the benefits of those activities including shutdowns and staff realignments. Turning now to our memorialization segment, we believe that the breadth of our product offerings facilitating market share gains in our bronze and stone business. While we await the return of pre-need marker sales, which tend to be a little bit lumpy. Our recent acquisition of Star Granite & Bronze in February of this year is driving Matthews products through technological solutions – and adjusted EBITDA helping to offset market declines in certain other segment – sectors of business. Organically, our environmental solutions group has also continues to contribute sales of adjusted EBITDA growth on a comparable basis. Equipment orders remain strong with backlogs extending beyond one year. We are pleased to report during the quarter that we installed our first cremator with filtration equipment in the United States, which sold at a price that was substantially lower than our traditional U.S. equipment. Operationally margins in our memorialization segment are being pressured by commodity cost increases particularly bronze and steel. We expect that these increases will continue into next year and have plans to mitigate the impact. Generally, we are able to mitigate commodity cost increases with our annual price increases, which were scheduled to occur later this year. Now let's focus our attention on our smaller but significantly growing industrial technologies segment. As you have heard me and say before, this team has developed a powerful strategic vision, which we began realizing just a few quarters ago. All of our principal product lines within this segment, marking products, fulfillment systems and OEM solutions are experiencing good organic growth. This is resulting from our ability to differentiate Matthews products through technological solutions that improve our customers’ efficiencies while also capitalizing on the growing e-commerce trend. For example, most of you are aware that we have traditionally sold software solutions to the automated warehouse market. We recently however run an opportunity with a significant retailer to provide a turnkey automated warehouse including the specification of the conveyor systems. This is a step change for this group, which could enhance the opportunities which we can pursue. Organic results in this business are also being complemented by the recent acquisitions of Compass Engineering and RAF Technologies, which are key pieces to our strategic puzzle. Looking to future organic growth, we are especially excited about our soon to be announced new product that has been under development for the past few years. We began beta testing it during this third quarter and expect to place more betas in September. We remain on track with the expectation to launch it into the marketplace in early calendar 2019. So there's a lot to be excited about within all of our businesses. Now please turn to Slide 16 for those of you that know Matthews well. You know that acquisitions are an integral part of our growth strategy. Accordingly, I will provide you some color on the progress of our acquisitions. In our SGK segment, we have added three bolt-on acquisitions in the last twelve months. As I discussed earlier, we’re pleased with the Equator acquisition, but their year-to-date results have been hampered by start-up costs on new client wins. We expect a very strong fourth quarter from this group as they continue to contribute. Ungricht as most of you know solidifies our global leadership position and web-based solutions for everything from large-scale embossing cylinders used to produce vinyl flooring and synthetic leathers to industrial applications such as calendering systems used to produce lithium-ion batteries for the auto industry. We now refer to this business combined with the portions of our Saueressig business as surfaces and engineering. VCG solidified our leading position in the U.K. printer tooling market and has successfully captured the operational synergies that we do very well. All of these acquisitions are performing as expected and will be contributors to our strong results. Within our Memorialization segment, Star Granite & Bronze joined us earlier this year. We anticipate significant opportunities for operational and revenue synergies by broadening our collective product portfolio including expanding our private mausoleum competency in consolidating their small bronze foundry. We are at the early stages of integration and synergy capture, but we are confident of our opportunities. On the other hand, we acquired Aurora about 2.5 years ago, while most of our acquisitions are tuck-in, this one was transformational and the realization of our synergies is continuing. We still have further plant consolidation to be achieved, but we are being prudent not to disrupt our customer service by moving too quickly to finalize the integration. We expect to have achieved all of our expected synergies during fiscal 2019. Since the acquisition of Aurora, one of our major initiatives has been to reduce our excess inventory on hand by $14 million that's reducing our net purchase price. We have continued to make progress along those lines with casket inventories down $5 million lower than a year ago. When integration is completed, Aurora will have added $40 million of EBITDA on a net purchase price of less than $200 million. Finally within our industrial technologies segment, we required Compass and RAF during fiscal 2017. These two businesses bring related but distinctly unique opportunities to our business. Compass is a leading provider of warehouse control software to logistics and trucking companies. Together with our current warehouse control software business, Pyramid, we expect to be able to manage e-commerce orders from our customers’ websites to the consumers’ doorstep. RAF helps us with the strategy by offering unique address recognition software to facilitate that strategy. Together with our turnkey warehouse solution that we are delivering today, we have a leading position in the North American warehouse automation market. Now turn to Slide 17 please. I want to reiterate the expectation that we have been providing over the past couple of quarters regarding fiscal 2018. We remain confident of our ability to deliver year-over-year growth in our non-GAAP earnings per share of at least 10%. Further given the results generated year-to-date and our outlook for the fourth quarter, we currently expect that our operating cash flow will exceed $150 million for the year. And with that I'd like to open it for questions.
Operator: Thank you. We’d now be conducting a question-and-answer session. [Operator Instructions] Our first question today is coming from Liam Burke from B. Riley FBR. Your line is now live.
Liam Burke: Thank you. Good morning, Joe. Good morning, Steve.
Joe Bartolacci: Good morning, Liam.
Steve Nicola: Good morning.
Liam Burke: Joe, if I adjust in North American revenues for the merchandising project delivered a year ago, when I am looking at North American organic growth, looking at how the CPGs are pulling back on SKUs? What – I mean after peeling over the bag, what is the growth profile look like in North American on SGK?
Joe Bartolacci: Well, as you look at SGK particularly in North America, the quarter was relatively flat when you exclude that merchandising solutions project we talked about. That for us is a very positive turn. It's relatively stable for the quarter. We're starting to see better investment from our clients. We expect fourth quarter to be a very strong quarter for us as we start to ramp up some of those wins that we talked about.
Liam Burke: Okay. If when you’re looking at contact ramp in America, how about others world, Asia Pacific and Europe, particularly tobacco on Europe?
Joe Bartolacci: So as we look at our business, let me kind of break it out for you. This is about 8 – let’s use $800 million as the number for our revenue out there, about $100 million plus or minus is our merchandising. About $350 million of that is North America. A little less than $300 million of that – a little more than $300 million of that is in U.K., Europe and a little less than $50 million is within our APAC regions. We've seen good growth out of the other two regions as we continue to expand our market shares in those areas. So I would tell you that we're pretty pleased with the results particularly outside the United States. Tobacco was low this quarter. There’s no question about that, but despite that they delivered good results. We’re expecting a good quarter from them in the fourth quarter.
Liam Burke: Great. Thank you, Joe.
Joe Bartolacci: Sure.
Operator: Thank you. Our next question is coming from Dan Moore from CJS Securities. Your line is now live.
Dan Moore: Good morning. Thanks for taking the questions. Great color on the acquisitions that was very helpful of review, I think. Let me dig into industrial technologies, run rate approaching $200 million of revenue, obviously becoming a bigger contributor. Can you kind of bucket that just as you just did with the brand solutions business, bucket it in terms of marking products versus warehouse solutions versus other? And what am I missing? And maybe talk about the relative growth rates and margin profiles of each to the extent possibility.
Joe Bartolacci: Sure. Well, first, let me kind of call out the success of that team. We've been talking about them for several years and they are delivering exactly what we've expected them to deliver. Let me kind of break it out into buckets for you and I’m going to ask Steve just to correct me as I'm walking through this. When we look at our OEM solutions, it's the smallest part of our business at this point in time and it is about $5 million to $7 million. It is a nicely profitable business with a limited market share – limited market for us to participate in. Where we – where the rest of the business, we use 100 – what we project this year to be about $160 million worth of annualized revenue for this year. I would tell you that about $80 million of that is going to be what we call our traditional marking products for those you that have been shareholders for a long, long time. It's really product identification and that's the industrial printers that put a mark on a product coming down in a production line at high speeds. That business is a good business for us. It is our historic business that we've always operated in and margins in that business is in the high teens. The balance is roughly $170 million to $180 million is our automate – our warehouse control systems business particularly with the acquisition of Compass being there and that's approaching 20% margins. What is – what you're seeing in the business is what I would call the final throes of the R&D development cost. We expect to incur $7.5 million or so this year in R&D development for this new product and we look at this business X that that spend because we do not view it as a long-term level of spending and I would tell you that without that this business as a whole is a mid to high teens EBITDA margin business for us.
Dan Moore: And obviously expect faster growth rate as it relates to those warehouse control system going forward.
Joe Bartolacci: We would hope. I mean you understand the market that we're in. I mean we're fortunate to be in a market that continues to expand. We have some very, very good new account wins, but the one thing that is positive despite what we think is a very, very strong backlog in that group and some very good successes. We’re at the whim of some of our customers there. For example, as you might expect, we won't be in anybody's warehouse during the Christmas period. So starting at the end of September, generally we’re kicked out. So it goes to radio silence there a little bit more and the opportunity to postpone it is really in the control of our customers. Generally, we've not lost any projects. They tend to be deferred as they moved from period to period and that will create some lumpiness in that market for us.
Dan Moore: Got it. I appreciate it. One quick follow up. Maybe just remind us just as the amount of cost synergies still to come from Aurora and in total from already more recent acquisitions still ahead for fiscal 2019 and maybe into 2020.
Steve Nicola: Dan, this is Steve. I think from Aurora we still probably have synergies remaining in the $3 million to $5 million range and then they are potentially up to $10 million in total from all acquisitions.
Dan Moore: Perfect, thank you.
Operator: Thank you. Our next question is coming from Jason Rodgers from Great Lakes Review. Your line is now live.
Jason Rodgers: Yeah, Joe, I think you mentioned that SGK was flat in the quarter to take out that merchandising solution project…
Joe Bartolacci: North America…
Steve Nicola: North America…
Joe Bartolacci: North America, Jason.
Jason Rodgers: Okay.
Joe Bartolacci: That was all North America.
Jason Rodgers: So just there – could you quantify the start-up costs for those account wins in order to…
Joe Bartolacci: It’s difficult to quantify because we – I mean they’re people cost and they start to work early on. And as we go through, some cost get hung up and whip, some cost do not get hung up and whip. All I can tell you is that in particular many of these significant wins have been – has been in the Equator business and they are not contributing what we expect them to for the first nine months. We expect that to change in the fourth quarter. I mean it's very simple to kind of get to our expectations. If you look at our performance in the first three quarters and we're telling you that we're going to have plus 10% for the full year basis. We're expecting a very strong fourth quarter and a lot of that is coming from the ramp up on that side.
Jason Rodgers: And I am sorry, what’s the plus 10% figure?
Joe Bartolacci: Year-over-year EPS improvement.
Jason Rodgers: Okay. And then in the industrial segment, do you have a figure for the organic growth?
Joe Bartolacci: Steve, you may have that. We're flipping through a few pages as our business has become more complex.
Steve Nicola: Yeah, Jason – you’re…
Jason Rodgers: Sure, what you’re looking through?
Steve Nicola: Jason, more than half of our sales growth for the quarter was organic.
Jason Rodgers: Right. And then…
Steve Nicola: So it's not like about 20%.
Jason Rodgers: What was the impact of commodity cost in the quarter? And are you increasing prices to help offset that? And then the outlook for the price cost dynamic going forward?
Joe Bartolacci: Yes, Jason, just for a multiple reasons, we don't. We try to stay away from talking about actual commodity cost, but suffice it to say I think we know more steel has gone over the last twelve months especially and copper year-over-year although recently copper has softened a little bit. But the ability to mitigate those potentially comes from the annual price adjustments that we do that typically happen in the fourth quarter. It's the October and January timeframes.
Jason Rodgers: All right. I could just leave one more in here. Looking at the M&A environment, just what opportunities you’re seeing across the segment? And specifically in industrial, it looks like the opportunities are expanding there. Do you see any holes you need to fill in that business with the expanded market opportunities? Or you satisfied with your current offering?
Joe Bartolacci: Well, if you look at – let's talk specifically about industrial. We've got it – its two sided story in that side of the business. When it comes to our traditional product identification business, I would tell you that we're really relying on the organic growth that comes from our new product as we roll that into the future quarters and years as we move forward. On the automation side, which is more the warehouse control business, I would tell you that there's always bits and pieces we would like to add some small, some relatively large. If this is a story of the cobbling together of a great strategic plan that all these bits and pieces lead to a bigger story. As you heard in my comments, we took our first step into what I would call the general contractor stage where we are specifying the entire warehouse rather than just the warehouse control software solutions that are associated with that. If that bodes well, we expect it to be very successful. We have more projects behind it and we may need more capacity to be able to fulfill.
Jason Rodgers: All right, thanks for taking all the questions.
Joe Bartolacci: You're welcome.
Operator: Thank you. Our next question today is coming from Scott Blumenthal from Emerald Advisors. Your line is now live.
Scott Blumenthal: Good morning, Joe. Good morning, Steve. Good morning, Karen.
Karen Howard: Thank you, Scott.
Joe Bartolacci: Playing smart, Scott.
Scott Blumenthal: Hey, lots of really good information on the call. Thank you. Joe, can you talk obviously the growth engine here looks like a switch to industrial technologies? It sounds like you’re going to be kind of in the industrial engineering business with this new opportunity that you have. Can you talk about staffing and your ability to attract talent to that business?
Joe Bartolacci: Yeah, it’s always going to be a challenge, Scott. I mean we range from mechanical engineers to software engineers throughout the business. The locus of that business is shifted to some extent particularly comes to warehouse automation side of the business to more in the Cincinnati area and off to Portland where we are more attuned with that type of talent that we need. So far I mean talent was always an issue, but we pay competitive rates and we have a good culture in that group to continue to be able to fulfill that.
Scott Blumenthal: Okay, thank you. And you alluded to your OEM solutions business. Can you maybe give us a little bit of detail as to what that actually is? And you said you're working on a new product although you really didn't specify exactly what that is. I understand there may be some competitive reasons not to do so, but maybe give us a little bit more of that and I did as to what that might be.
Joe Bartolacci: OEM is a small business that principally focuses in to the fracking business as it relates to oil production. So I would not tell you that there is a lot of – we have a wonderful client there. We're very much dependent on their needs and demands, but we don't see great expansion possibilities. The new product we're talking about is in our product identification and we've been talking about it for a while. We think that is disruptive. We don't expect it to disrupt it over the market overnight, but we are very, very confident of where we were going with this new product and our early results in beta give us the confidence that we'll be out in the January period or it’s January-February period with the product for the first time. We'll be able to spot – speak more specifically about at that point in time, but I would tell you that we are tackling some of the challenges that have kept us from being a more competitive player in that space.
Scott Blumenthal: All right, fair enough. You did mention that this is approaching a $160 million, $170 million annual business. I suspect that the total addressable market in this segment is pretty darn large particularly if we're looking at a worldwide customer base. You have any idea or can you give us any idea as to what you guys believe that might be?
Joe Bartolacci: So we think that what we believe that the product identification market is probably closer to $1.5 billion to $2 billion broken up into three portions, one is the product itself the printers, two is the consumables including ink and three is service and repairs. And we think those are the three elements of that business that we – we’ll be attacking each one of those with its own solution. Then the warehouse automation is significant on a global basis. We don't have a number, but suffice it to say today we are only a North American provider. There are both organic and acquisition opportunities outside the United States that we think will be an opportunity to continue to grow that portion of the business. It's a big market, Scott. I don't have that number for you. It would back – and we could probably get it for you though.
Scott Blumenthal: Okay. Thank you. And Joe, you have a new, a new printer – a new high-speed printing product. I don’t know what we call that, but was that a meaningful contributor to the segment this quarter?
Joe Bartolacci: The new printer was actually detractor. That's the R&D spend we're talking about, Scott. We're spending – we’ll spend about $7.5 billion this year that's running through our P&L on that. So if I mean – we're going to always have some R&D as we continue to expand the opportunities presented by this new product, but it won't be anywhere near $7.5 million going forward as we continue to launch and get the revenues associated with that. So I would tell you that this quarter no revenues derived from that. We're expecting future quarters starting in mid 2019 really of any significance to be benefiting from that.
Scott Blumenthal: Okay, super. And last one if I may can you give us an update if there is any movement or any news on some of the SAFLA or FMLA stuff that we’ve been waiting for?
Joe Bartolacci: We still have a – we now have a date. It's early 2021. We're starting to see some of that come through. It was – we'll see as it gets closer to that date that whether we have a big, big push or this is a slow ramp to that date. What we have been seeing is as new products were being launched through the marketing process is that as all these CPGs go through. There are process and new products and new solutions. We're seeing the FMLA being complied with during that process rather than the big push that we were expecting earlier on. But the good news, Scott, as we’ve heard from multiple sources that a lot of these CPGs have come to the realization, they have to invest for growth, they're not going to be able to save themselves to success and we hope to be able to see that throughout.
Scott Blumenthal: So, we’re starting to see some of that come through and you expect it to slowly ramp until – through 2021 when the requirements are implemented.
Joe Bartolacci: We would expect that. But we don't control it. That's a reasonable expectation versus what we've seen for the last several years in North America.
Scott Blumenthal: Okay, well that's better than nothing I guess.
Joe Bartolacci: Still makes a lot of money Scott.
Scott Blumenthal: Sure, it does. Thank you, Joe. Thanks, Steve. Thanks, Karen.
Joe Bartolacci: Thanks, Scott.
Karen Howard: Thank you.
Operator: Thank you. Our next question today is coming from Kincade Webster from Solas Capital Management. Your line is now live.
Kincade Webster: All right, thank you for taking my questions. My first one is kind of following up on some of the segmentation you guys did and actually say. How big is I guess Europe – sorry U.K. in the context of your European sales?
Joe Bartolacci: U.K. is about a $125 million and mainland Europe about $200 million.
Kincade Webster: Okay, great. Thank you. That’s very helpful. And I know you guys had some back and forth with the SEC earlier this year in February. Is that all finished? Or I guess what would be the status of that?
Joe Bartolacci: No, that’s really – that’s not the case. The SEC sends comment letters on a routine basis once every three or four years. We received a routine comment letter with some questions. We entered those questions and there were no issues. It's done.
Kincade Webster: Okay, so that’s all set.
Joe Bartolacci: It was. It was. Like I said it was fairly routine – actually it was fully routine. We had no issues whatsoever, so just questions that we answered and apparently answered to their satisfaction.
Kincade Webster: All right, great. Thank you very much. That's all I had. Good luck.
Joe Bartolacci: Thank you.
Steve Nicola: Thank you.
Operator: Thank you. We reached end of our question-and-answer session. I’d like to turn the floor back over to management for any further closing comment.
Joe Bartolacci: All right, well, thank you, Kevin. We appreciate everyone's participation this morning and we look forward to our next call in November with our fourth quarter announcement. Thank you. Have a good day and a good weekend.
Operator: Thank you. That does conclude today’s teleconference. You may disconnect your lines at this time and have a wonderful day. We thank you for your participation today.